Operator: Good afternoon, ladies and gentlemen. Welcome to the Vail Resorts Fiscal First Quarter 2025 Earnings Conference Call. Today's conference is being recorded. Currently, all callers have been placed in a listen-only mode, and following management's prepared remarks, the call will be opened up for your questions. [Operator Instructions] I'll now turn the call over to Kirsten Lynchak, Chief Executive Officer of Vail Resorts. Ms. Lynch, please go ahead.
Kirsten Lynch: Thank you. Good afternoon everyone. Welcome to our fiscal 2025 first quarter earnings conference call. Joining me on the call this afternoon is Angela Korch, our Chief Financial Officer. Before we begin, let me remind you that some information provided during this call may include forward-looking statements that are based on certain assumptions and are subject to a number of risks and uncertainties as described in our SEC filings, and actual future results may vary materially. Forward- looking statements in our press release issued this afternoon, along with our remarks on this call, are made as of today, December 9, 2024, and we undertake no duty to update them as actual events unfold. Today's remarks also include certain non-GAAP financial measures. Reconciliations of these measures are provided in the tables included with our press release which, along with our quarterly report on Form 10-Q were filed this afternoon with the SEC and are also available on the Investor Relations section of our website at www.vailresorts.com. With that said, let's turn to our fiscal 2025 first quarter results. Resort reported EBITDA was consistent with the prior year, driven by growth in our North American Summer business from increased activity spending and lodging results. This growth was offset by a decline in Resort reported EBITDA of $9 million compared to the prior year from our Australian resorts, due to record low snowfall and lower demand. Cost inflation, the inclusion of Crans-Montana, and approximately $2.7 million of onetime costs related to the 2-year resource efficiency transformation plan and $0.9 million of acquisition and integration-related expenses. Moving on to our resource efficiency transformation plan, regarding the company's two-year resource transformation plan, which was announced last quarter, Vail Resorts continues to make progress against the plan. The two-year resource efficiency transformation plan is designed to improve organizational effectiveness and scale for operating leverage as the company grows globally. Through scaled operations, global shared services and expanded workforce management, the company expects $100 million in annualized cost efficiencies by the end of its 2026 fiscal year. We will provide updates as significant milestones are achieved. Turning now to our 2024-2025 North American Season Pass sales and early season indicators. Our Season Pass sales highlight the compelling value proposition of our Pass products and our commitment to continually investing in the guest experience at our resorts. Over the last four years, Pass product sales for the 2024-2025 North American ski season have grown 59% in units and 47% in sales dollars. For the upcoming 2024-2025 North American ski season, Pass product sales through December 3, 2024, decreased approximately 2% in units and increased approximately 4% in sales dollars, as compared to the period in the prior year through December 4, 2023. This year's results benefited from an 8% price increase, partially offset by unit growth among lower-priced Epic Day Pass products. Pass product sales are adjusted to eliminate the impact of changes in foreign currency exchange rates by applying an exchange rate of $0.71, between the Canadian dollar and the U.S. dollar in both periods for Whistler Blackcomb pass sales. For the period between September 1, 2024 and December 3, 2024, Pass product sales trends improved relative to the Pass product sales through September 20, 2024, and with unit growth of approximately 1% and sales dollar growth of approximately 7% as compared to the period in the prior year from September 23, 2023 through December 4, 2023 due to the expected renewal strength, which we believe reflects delayed decision-making. Our North American Pass sales highlight strong loyalty with growth among renewing Pass holders across all geographies. For the full selling season, the company acquired a substantial number of new Pass holders. However, the absolute number of new guests was smaller compared to the prior year, driven by the overall unit. Driving the overall unit decline for the full season. New Pass holders come from lapsed guests, prior year lift ticket guests and new guests to our database. The company achieved growth from lapsed guests, who previously purchased a pass or a lift ticket but did not buy a pass or lift ticket in the previous season. The decline in new passholders compared to the prior year was driven by fewer guests who purchased lift tickets in the past season, and from guests who are completely new to our database, which we believe was impacted by last season's challenging weather and industry normalization. Epic Day Pass products achieved unit growth driven by the strength in renewing pass holders. We expect to have approximately 2.3 million guests committed to our 42 North American, Australian and European resorts in advance of the season in non-refundable advanced commitment products this year, which are expected to generate over $975 million of revenue and account for approximately 75% of all skier visits excluding complementary visits. Now turning to our early season indicators. Heading into the 2024/2025 ski season, we are encouraged by our strong base of committed guests, providing meaningful stability for our company. Additionally, early season conditions have allowed us to open some resorts earlier than anticipated, including Whistler Blackcomb, Heavenly, Northstar, Kirkwood and Stevens Pass, Early season conditions have also enabled our Rockies resorts to open with significantly improved terrain relative to the prior year, including the opening of the legendary back bowls at Vail Mountain opening the earliest since 2018. Our resorts in the East are experiencing typical seasonal variability for this point in the year with all resorts planned to open ahead of the holidays. We are continuing to hire for the winter season and are on track with our staffing plans and have achieved a strong return rate of our frontline employees from the prior season. Lodging bookings at our U.S. resorts for the upcoming season are consistent with last year at Whistler Blackcomb, lodging bookings for the full season are lagging prior year levels, which may reflect delayed decision-making following challenging conditions in the prior year. Now I would like to turn the call over to Angela to further discuss our financial results and fiscal 2025 outlook.
Angela Korch: Thanks, Kirsten, and good afternoon, everyone. As Kirsten mentioned, this quarter's results were driven by growth in our North American summer business, offset by lower results from our Australian resorts, cost inflation, the inclusion of Crans-Montana, the onetime costs related to the two-year resource transformation plan in acquisition and related -- integration-related expenses. Net loss attributable to Vail Resorts was $172.8 million for the first quarter of fiscal 2025 compared to a net loss attributable to Vail Resorts of $175.5 million in the same period in the prior year. Resort reported EBITDA loss was $139.7 million for the first quarter of fiscal 2025, which included $2.7 million of one-time costs related to the previously announced two-year resource transformation plan and $0.9 million of acquisition-related and integration-related expenses. Compared to a Resort reported EBITDA loss of $139.8 million for the first quarter of fiscal 2024, which included $1.8 million of acquisition and integration-related expenses. As of October 31, 2024, the company's total liquidity as measured by total cash plus revolver availability was approximately $1 billion. This includes $404 million of cash on hand, $620 million of total combined revolver availability. And as of October 31, 2024, the company's net debt was 2.8 times, its trailing 12 months total reported EBITDA. Regarding the return of capital to shareholders, the company declared a quarterly cash dividend of $2.22 per share of Vail Resorts common stock payable on January 9, 2025, to shareholders of record as of December 26, 2024. In addition, the company repurchased approximately 115,000 shares during the quarter at an average price of approximately $174 for a total of $20 million. The company has 1.6 million shares remaining under its authorization for share repurchases. We will continue to be disciplined stewards of our shareholders' capital, prioritizing investments in our guest and employee experience, high-return capital projects, strategic acquisition opportunities and returning capital to our shareholders. The company has a strong balance sheet and remains focused on returning capital to shareholders while always prioritize in the long-term value of our shares. Now turning to our outlook for 2025. The company's Resort reported EBITDA guidance for the year ending July 31, 2025, is unchanged from the prior guidance provided on September 26, 2024. The company is updating its guidance for net income attributable to Vail Resorts, which it now expects to be between $240 million and $316 million, up from the prior guidance range of $224 million to $300 million. The primary difference is due to a $17 million increase from the gain on sale of real property related to the resolution of the October 2023 Eagle County District Court final rolling and valuation regarding The Town of Vail’s condemnation of the company's East Vail Property that was planned for Vail Resorts incremental affordable workforce housing project, a transaction that has been recorded as Real Estate Reported EBITDA. Additionally, the guidance is updated to include a decrease in expected interest expense of approximately $2 million, which assumes that interest rates remain at current levels for the remainder of fiscal 2025. These changes have no impact on expected resort reported EBITDA. The company continues to expect resort reported EBITDA for fiscal 2025 to be between $838 million and $894 million, including approximately $27 million of cost efficiencies and an estimated $15 million in one-time costs related to multiyear resource efficiency transformation plan and an estimated $1 million of acquisition and integration-related expenses specific to Crans-Montana. As compared to fiscal 2024, the fiscal 2025 guidance includes the assumed benefit from a return to normal weather conditions after the challenging conditions in fiscal 2024, more than offset by a return to normal operating costs, and the impact of continued industry normalization impacting demand. Additionally, the guidance reflects the negative impact from the record low snowfall and related shortened season in Australia in the first fiscal quarter of 2025, which negatively impacted demand and resulted in a $9 million decline of resort reported EBITDA compared to the prior year period. After considering these items, we expect Resort reported EBITDA to grow from price increases in ancillary spending, the resource efficiency transformation plan and the addition of Crans-Montana for the full year. The guidance also assumes a continuation of the current economic environment, normal weather conditions for the 2024-2025 North American and European ski season and the 2025 Australian ski season, and the foreign currency exchange rates as of our original fiscal 2025 guidance issued September 26, 2024. Foreign currency exchange rates have experienced recent volatility, relative to the current guidance if the currency exchange rates as of yesterday, December 8, 2024, a $0.71 between the Canadian dollar and U.S. dollar, $0.64 between the Australian dollar and U.S. dollar and $1.14 between the Swiss franc and the U.S. dollar were to remain at those levels for the remainder of the fiscal year, the company expects this would have an impact on fiscal 2025 guidance of approximately negative $5 million for resort reported EBITDA. Now I'll turn the call back over to Kirsten.
Kirsten Lynch: Thank you, Angela. Vail Resorts is committed to enhancing the guest experience and supporting the company's growth strategies through significant capital investments. For calendar year 2025, the company plans to invest approximately $198 million to $203 million in core capital before $45 million of growth capital investments at its European resorts, including $41 million at Andermatt-Sedrun and $4 million at Crans-Montana, and $6 million of real estate-related capital projects to complete multi-year transformational investments at key base areas at Breckenridge Peak 8 and Keystone River Run, and planning investments to support the development of the West Lionshead area into a fourth base village at Vail Mountain. Including European growth capital investments and real estate-related capital, the company plans to invest approximately $249 million to $254 million in calendar year 2025. Projects in the calendar year 2025 capital plan described remain subject to approvals. In calendar year 2025, the company will embark on two multiyear transformational investment plans at Park City Mountain and Vale Mountain. At Park City Mountain, the transformation of Park City Mountain, Canyons Village is underway to support a world-class luxury-based village experience. These investments will support Park City Mountain in welcoming athletes and fans from across the world who visit the resort, as it serves as a venue for the 2034 Olympic Winter Games. As announced in September, we are replacing the Sunrise Lift with a new 10-person gondola in partnership with the Canyons Village Management Association in calender year 2025 which will provide improved access and enhanced guest experience for existing and future developments within Canyons Village. The company also plans to enhance the beginner and children's experience by expanding the existing Red Pine Lodge restaurant to upgrade the dining experience for ski and ride school guests and by improving the teaching terrain surrounding the Red Pine Lodge. These investments are further supported by the construction of the Canyons Village parking garage, a new covered parking structure with over 1,800 stalls being developed by TCFC, the master developer of Canyons Village, which is expected to break ground in spring 2025. Planning of additional investments at Park City Mountain across the Mountain experience is underway and additional projects will be announced in the future. At Vail Mountain, the company previously announced the development of the West Lionshead area into a fourth base village at Vail Mountain in partnership with The Town of Vail and East West Partners. The new base village will reinforce Vail Mountain status as a world-class destination and is anticipated to feature access to the resort’s 5,317 acres of legendary terrain, plus new lodging, restaurants, boutiques and skier services, as well as community benefits such as workforce housing, public spaces, transit and parking. In addition, the company is developing a multi-year plan to invest in base area improvements, lift upgrades and across the beginner ski and ride school and dining experiences. In calendar year 2025, the company is planning to renovate guest rooms and common spaces at its luxury Vail Hotel, the Arrabelle at Vail Square. Additionally, in calendar year 2025 the company plans to invest in real estate planning to develop the West Lionshead area. In addition to embarking on two multi-year transformational investment plans, the company is planning significant investments across the guest experience in calendar year 2025. At Andermatt-Sedrun, the company plans to replace the four-person fixed grip, Calmut lift and the four-person fixed grip Cuolm lift with two new six-person high speed lifts that will increase capacity and significantly improve the guest experience at the Val area. The Company also plans to upgrade and expand snowmaking infrastructure at the Gemsstock area on the western side of the resort to enhance the consistency of the guest experience, particularly in the early season, and significantly improve energy efficiency. In addition, the company plans to complete the previously announced upgrade of the Sedrun-Milez snowmaking infrastructure and improvements to the Milez and Natschen restaurants. Through calendar year 2025, Vail Resorts will have invested approximately CHF50 million of a total CHF110 million capital that was invested as part of the purchase of the Company's majority ownership stake in Andermatt-Sedrun. At Perisher in Australia, the Company plans to replace the Mt Perisher Double and Triple Chairs with a new six-person high speed lift, following the capital spending in calendar year 2024 that is continuing into calendar year 2025 to be completed in time for the 2025 winter season in Australia. In addition, the company is continuing to invest in innovative technology to enhance the guest experience. In the coming years, the company will be investing in additional new functionality for the My Epic app including new tools to better communicate with and personalize the experience for our guests. The company will also be building on the pilot of My Epic Assistant, a new guest service technology within the My Epic app powered by advanced AI and Resort Experts at four resorts for the upcoming 2024-2025 ski season, the company is planning to invest in more advanced AI capabilities in calendar year 2025. To support the dining experience, the company plans to invest in physical improvements to dining outlets at its largest destination resorts to improve throughput. The company is also continuing to investing in waste reduction and emissions reduction projects across its resorts to achieve its goal of zero net operating footprint by 2030. At Breckenridge, The company is making real estate related investments to complete the multi-year transformation of the Breckenridge Peak 8 base area, where the Company has enhanced the beginner and children's experience and increased uphill capacity with the introduction of a new four-person high speed 5-Chair, new teaching terrain, and a transport carpet from the base, making the beginner experience more accessible. At Keystone, the company is investing in acquisition and build-out costs for skier services that will reside in the newly developed Kindred Resort at Keystone, a family-friendly luxury ski-in, ski-out lodging residence and Rock Resorts-branded hotel at the base of the River Run Gondola, including new restaurants, a full-service spa, pool and hot tub facilities, and the new home for the Keystone Ski & Ride School, and a retail and rental shop. The Kindred development follows the transformational lift-served terrain expansion project in Bergman Bowl, increasing lift-served terrain by 555 acres with the addition of a new six-person high speed lift which was completed for the 2023/2024 North American ski season. In addition to the investments planned for calendar year 2025, the Company is completing significant investments that will enhance the guest experience for the upcoming 2024/2025 North American and European ski season. As previously announced, the Company expects its capital plan for calendar year 2024 to be approximately $189 million to $194 million, excluding $13 million of incremental capital investments in premium fleet and fulfillment infrastructure to support the official launch of My Epic Gear for the 2024/2025 winter season at 12 destination and regional resorts across North America, $7 million of growth capital investments at Andermatt-Sedrun, $2 million of maintenance and $2 million of integration investments at Crans-Montana, and $3 million of reimbursable capital. Including these one-time investments, the Company's total capital plan for calendar year 2024 is now expected to be approximately $216 million to $221 million. In closing, I would like to thank all of our team members, especially our frontline teams across all of our Mountain Resorts for their passion, hard work and commitment to creating an experience of a lifetime of our guests. The guest experience that our employees create is our mission as a company and is core to our success. We all look forward to welcoming guests to our Mountain Resorts this winter season. At this time, Angela and I will be happy to answer your questions. Operator, we are ready for questions.
Operator: Certainly Ms. Lynch. [Operator Instructions] We'll go first to Shaun Kelley with Bank of America.
Shaun Kelley: Hi, good afternoon everyone. Hi Kirsten and Angela. Maybe if we could just start, I'm kind of curious, obviously the season is off to a very good start on the weather front, it sounds like. And built into the guidance is some behavioral normalization that you called out a number of times. Can you just give us your sense on kind of what you are seeing so far? I know it's extremely early and early season visit patterns don't always reflect the destination guest. But just what are you seeing so far in terms of kind of behavior for the resorts that are open? Kind of how are you feeling about just that activity level thus far given what you can see through Thanksgiving? Thanks.
Kirsten Lynch: Thanks for the question, Shaun. I think a couple of indicators to look at. One is Pass Sales, obviously. We're very pleased with the outcome of our Pass Sales and the improvement in the growth rates in the final selling period to get to 2% decline in units and up 4% in sales dollars. So that's over 2.3 million guests that are committed coming to our resorts. So that's a strong indicator for us. The early season conditions are very encouraging and especially being able to open some of our resorts early. The other indicator is Lodging that we are looking at. And U.S. lodging in the market data in the market for our Resorts are -- we see our consistent. The lodging booking data is consistent with prior year levels for the full season, better than pre-COVID levels. And then Whistler Blackcomb, as I mentioned in the opening remarks, those bookings are lagging prior year and pre-COVID levels. Our owned and operated lodging. We have more recent data on that, and we are seeing that slightly above prior year. And all of those indicators seem to be improving as we are getting closer to the season, but we're really looking at all of that in totality, the strong conditions where we landed on Pass sales and then the lodging indicators. So as a result, we are holding guidance at this time.
Shaun Kelley: Fantastic. And then maybe just as a follow-up, Whistler has come up in a couple of the conversations and questions since the release. Could you just talk about the sort of overall exposure there. If that were to stay where it's at? Is that enough to be a risk to guidance? Or when you kind of put all those other pieces in and especially if the snow conditions remain where they are, is there enough local visitation and other things that can offset that -- and that's not something we need to be overly worried about at this point in the season?
Kirsten Lynch: When I look at the Whistler Blackcomb lodging data, I think what we see that it continues to be improving. So I think given the strong conditions, I think it's possible what we're seeing in the bookings, is some delayed decision-making, which you obviously saw in total for our Pass sales is our trends improved as we went through the selling cycle. The conditions are off to a really great start. The terrain that we have is off to a great start. Destination guests are very important to that resort and the outcomes associated with that resort. So we'll continue to monitor and do everything we can to encourage visitation to the resort. So nothing to be, I would say, concerned about right in this moment, just a mix of indicators with coming off of, I think a really tough year at Whistler Blackcomb last year. So the fact that there could be some delayed decision-making going on where people want to wait and see how the season starts there, I think make sense, and we'll hope to see that play out as the season moves along here.
Shaun Kelley: Perfect. Thank you so much.
Kirsten Lynch: Thank you Shaun.
Operator: Thank you. We go next now to Jeff Stantial at Stifel.
Jeffrey Stantial: Hi, great good afternoon. Kirsten and Angela thanks for taking our questions. Starting off, I was hoping maybe just to expand upon Kirsten your answer to Shaun's first question and more specifically narrow in a little bit on what you're seeing in terms of lodging bookings indicators specifically for the Christmas and the New Year's holiday period, and as a correlator to that, have you seen sort of the booking trends or the bookings piece accelerate in those markets that have experienced? We'll say, some favorable early season snowfall have you seen the bookings pace accelerate in those markets for that holiday period?
Kirsten Lynch: Hi, Jeff, thanks for the question. As we track -- the market data for our resorts in the U.S., as well as the market data for Whistler and then we look at our owned and operated. We are consistently seeing as time moves closer here to the season that there are improvements in the bookings. In total, for the market data for our U.S. resorts we are seeing above pre-COVID in occupancy or bookings and pretty consistent with prior year. I think we've seen those improvements also happening during the key holiday periods, and then our owned and operated, I would say, because we have more visibility to that data -- more recent versus the market data that gets published us. When we look at owned and operated, and I just want to remind you, our owned and operated is a pretty small percentage of the lodging. So it's directional indicator. It continues to reinforce Jeff, what we see, which is those booking patterns seem to be strengthening, as we get closer and as people are seeing the snow conditions are strong. So yes, we are definitely seeing it moving in that direction and hope to see the momentum continue.
Jeffrey Stantial: Okay. Great. That's helpful. Thank you for that Kirsten. And then for my follow-up, turning over to capital allocation. If I bridge down from your net income guidance to what we think you should do in free cash flow this year. By my math, your current dividend policy, assuming unchanged, it implies about 80% to 90% payout from discretionary free cash flow, assuming that -- that is accurate. Can you just expand a little bit on your philosophy or your willingness to tap into your balance sheet, should you see another year of challenging weather conditions and that drive the payout level potentially north of 100%? And sort of in a similar vein, how should we think about your dividend growth strategy just in light of the post-COVID normalization trend that you've been talking about that maybe wasn't fully understood or appreciated looking back one or two years ago? And that's all for me. Thanks.
Angela Korch: Thanks, Jeff. It's Angela. I'll take this one. And yes, we always look at our dividend and really all of our capital allocation alternatives. We are constantly looking and reevaluating that what you saw us do, right, for this quarter has announced our investment in the guest experience and investment in our resorts which we've consistently done. And for return of capital, right, we have been prioritizing the dividend and even in a year like last year where we did miss our original guidance, right we still were able to cover our dividend payout and pursue all of our capital allocation priorities. So we feel very comfortable, we reaffirmed and announced our dividend stayed at the same level. We typically look at our dividend in the March quarter, and we'll continue to reevaluate it, though every quarter.
Jeffrey Stantial: Great. That’s helpful. Thank you for that Angela, I’ll pass it on.
Operator: Thank you. We go next now to Megan Clapp with Morgan Stanley.
Megan Alexander: Hi, good afternoon. Thanks so much. I wanted to shift a little bit to Pass Sales, obviously, encouraging to see things improve a bit, especially that positive unit growth here in the most recent period. And you did give a lot of color in the prepared remarks that sales trends improved due to the expected renewal strength. So maybe could you just give a little bit more around that, was it that renewals were just a little bit better than you were expecting? And you spoke to some positive cadence, I think when you were answering a question earlier. So how much do you think was driven by that by the early openings at some of your resorts? And any commentary around just more on the composition of the better than expected Pass sales in the last period would be great.
Kirsten Lynch: Thanks, Megan. Sure, I'm happy to give a little more context on Pass Sales. We're very pleased with the outcome of the results on Pass Sales. The results that what we saw a couple of dynamics. One is very strong loyalty. So our renewing Pass holders, we saw growth among our renewing Pass holders and that growth was across all of our geographies. We also saw the majority of those renewers, actually renewing into the exact same path, as we had expected, which we think is a very positive dynamic as well. On the new side, I talked about this a little bit in the prepared remarks, new Pass holders, we acquired a substantial number of new Pass-holders. They come from three different -- primarily three different sources. And there is different dynamics in each one of those. There is lapsed guests, so people who come to our resorts in the Pass, but not just not this past year, and we saw growth converting those guests into new Pass holders for this coming season. Where we saw the decline year-over-year was on prior year lift ticket guests, which I have talked about in prior earnings calls which was really just driven by the size of that audience being smaller after very tough weather season and industry normalization. And then prospect guests which is basically people who are new to our database, who we've not seen in our database before, that the number of those Pass holders also was down versus prior year. We did strong price realization, which I'm really pleased to see. And then this last dynamic that I'll highlight is delayed decision-making. I think if you look through the cadence of our selling cycle this year. We definitely saw renewers, as well as new guests delaying decision-making later into the selling cycle, which impacted, and we talked about on some of the prior earnings calls, did impact the cadence of when the results came in and why between September and December we saw the improvement in the growth rates during that late part in the selling cycle.
Megan Alexander: Okay great. Thanks Kristen. That's helpful. And maybe just as my follow-up, can you talk a little bit about My Epic Gear rollout and how the uptake of that was relative to your expectations? I understand it's not a full rollout yet. But would just be curious to kind of hear any early commentary on uptake and how that makes you think about your expectations for ancillary in the upcoming season?
Kirsten Lynch: Yes. Thanks for the question. We continue to be very excited about My Epic Gear. I would say it's very early. I mean it's not a Pass type of business where all of it is committed in advance. So it's very early in the selling cycle. We are launching year one at 12 different resorts with some limitation, so that we can make sure we scale the business appropriately. So nothing really substantial to report in terms of results because it's so early in the selling cycle for that experience. I think in March, we will have a more robust update to shares. We'll have a much better idea of the experience our guests had the number of members that subscribe to the service. So I think we'll have more details to share with you in March. So it's a little too early right now.
Megan Alexander: Okay. Understood. Thank you.
Kirsten Lynch: Thank you Megan.
Operator: Thank you. We go next now to David Katz with Jefferies.
David Katz: Hi, everyone. Thanks for taking my questions. Appreciate it. Can we just go double back to the guidance one more time. I apologize if we're beating this a little bit. But with the stronger start to the year and perhaps maybe some of the Australian season there. Can we just sort of walk through the puts and takes and how you are thinking about the rest of the year? Are you expecting weather to normalize at the results at the resorts that have started off strongly. Are you expecting others to improve what are the pluses and minuses as we kind of unpack the guidance?
Kirsten Lynch: Thanks, David. I think a couple of things that -- for us to think about. First is both our Q1 results and our Pass Sales results were generally in-line with our expectations. We -- number one. Number two, we have a strong early season conditions as we talked about in the Rockies, the West. So I think we're in a really good position heading into the season. And then third is we are looking at lodging bookings, and the trend on lodging bookings and where we stand on lodging bookings in our U.S. resort markets as well as Whistler Blackcomb, our largest resort the lodging bookings there. So at this point, it's pretty early in the season. We are looking at all of those factors. The season has just begun. And hoping for a strong season, but not changing our guidance based on the mix of indicators that we have right at this point. We still have a significant part of our season ahead of us.
David Katz: Understood. And as you've always accumulated a bigger and bigger base of Pass holders. And with that data, and you've always been a very strong data-driven company. Is there anything within the database or any interesting findings or insights as that database gets bigger and bigger, that shows some change and not necessarily either positive or negative, just interesting as that base of customers gets bigger, bigger, bigger.
Kirsten Lynch: We have over 25 million marketable guests in our database which is a pretty incredible asset and advantage for our company to have I think the bigger the database gets, the more we understand the behavior and the dynamics and the experience of our guests which, over time, as we have in the past and as we look forward, the goal is to unlock that potential in differential ways to drive growth. Our real key critical focus which we've talked about before is going to be around ancillary, obviously, right? The fact that we have so many committed guests, the fact that we have so many guests in our database, understanding their ancillary behavior and how we drive the loyalty but also the capture of the spend. In terms of insights about their guests and their behavior of not sharing anything proprietary or significant on this call today. But it is a tremendous competitive advantage that we have to have that much data. And you will hear us talk more about how we'll leverage that in different ways going forward.
David Katz: I appreciate that. Congrats on the quarter, thanks.
Kirsten Lynch: Thanks David.
Operator: We'll go next now to Laurent Vasilescu at BNP Paribas.
Laurent Vasilescu: Good afternoon, thanks very much for my question. Kirsten, I think it was mentioned in the prepared remarks that the Epic Day Pass units grew. Can you maybe unpack that a bit how much did they grow? What drove the growth? And then was there any trade down due to the macro environment?
Kirsten Lynch: Thanks, Laurent. We -- Epic Day Pass I'll talk about trade down first, as I shared within our renewing Pass holders, we saw the majority of those Pass holders renew into the same path as last year, which is what we expected. We always have trade up, trade down, but there was nothing that was unusual or different than what our expectations were. And the net migration between those two was relatively consistent with the last couple of years that we've seen on past and nothing unusual there, which I think is actually quite encouraging. Epic Day Pass is like our entry level opportunity to bring in new Pass holders. So we see growth there because we are attracting new guests into that Pass. And then what we expect to do over time is encourage those guests to move up either in resort access or the number of days. So I'm always pleased to see that product is growing. And what you see in our -- the differential in the units and our unit performance and our dollar sales performance reflects that we saw really strong price flow-through this year for the full selling cycle, which I'm also pleased to see.
Laurent Vasilescu: Okay. Very helpful. And then on the $100 million transformation plan, $27 million of it for this year. Curious to know two things. Where should we start seeing that through the OpEx line as you achieve these milestones? And in terms of upcoming milestones, any time frame that we should consider. I know this year is a smaller number versus next year. But should we assume that, that next milestone is after the ski season? Is that a fair assumption into spring next year?
Angela Korch: Hi Laurent, yes, the transformation plan overall, the total $27 million for this year before the onetime expenses is expected to grow to $67 million for next year. The places that you'll see that show up in the P&L really come through on labor primarily both through the general and administrative expenses and then also at labor that you'll see on the Mountain and Lodging side. And in terms of milestones, we'll continue to provide updates as we get through kind of the fiscal year and then into the coming year. We'll continue to keep you updated on the progress.
Laurent Vasilescu: Very helpful. Thank you very much and best of luck with the start of the season.
Angela Korch: Thanks Laurent.
Operator: Thank you. We go next now to Chris Woronka at Deutsche Bank.
Chris Woronka: Hi, good afternoon. Kirsten and Angela. So I'm curious, Kirsten, you've mentioned a few times now that you're going to have a number of new skiers in the network this year as you always do. If you look back to prior years, is there any consistency in how they perform on ancillary, whether it is [ski-school] (ph) dining or hotels? Is there any discernible pattern? Just trying to figure out if we can expect the same level of incremental contribution from the new pass holders you get? Thanks.
Kirsten Lynch: Thanks, Chris. What you saw last year at the end of even after a tough season last season with challenging weather and the normalization. We had really strong spend per guest results, which is really encouraging because we are yes, attracting the guest that wants to spend and experience those ancillary businesses. As we look at, there are some differences between how and when destination guests spends versus local guest spend. But the real key for us is our capture and our ability to innovate. And what you see us doing with My Epic Gear is really trying to innovate a business that has not innovated in decades, which is how people get their gear. And it's early days for My Epic Gear, it's year one for us and launching that. But that innovation is really critical as we believe that we can unlock differential growth in ancillary through innovation, as well as the investments we're making. So that's what I would hope that you should be able to see. When we attract new guests into Epic Day Pass. Those tend to orient more towards destination guests, not locals. And so that is a guest that has a strong spend in ancillary historically.
Chris Woronka: Okay. Thanks Kirsten. And as a follow-up, if I could. To the extent that you may end up having an even better than expected season, if the weather cooperates, how confident are you on the staffing side that you can -- that you have a; have enough and b; that the costs wouldn't dramatically exceed what you expect currently?
Kirsten Lynch: I am very confident in our staffing plan right now. We are on track to achieve that staffing plan, and we also have really been successful Chris, in increasing our return rate among our frontline teams from season to season to season, achieving historic highs in return rate. And the reason why that's so important is because they are the ones that deliver the guest experience. And so it makes our execution of the guest experience so much stronger, and it also obviously drives efficiency in training and onboarding because we have a return -- a high, high percentage of returning staff. So I'm feeling very confident and do not have concerns on the staffing side.
Chris Woronka: Okay, great. Thanks Kirsten.
Kirsten Lynch: Thanks Chris.
Operator: We'll go next now to Ben Chaiken at Mizuho.
Benjamin Chaiken: Hi. Two somewhat high-level questions. I guess, first, the essence of the Epic Pass historically obviously is an irrefutable price value. However, with lodging ADRs up 40% to 60% versus '19 in some cases, that changes the calculus for your destination visitor I guess, how much time do you spend Kirsten thinking about the degree to which lodging is or isn't a limiting factor? And then related, is there any part of you that wants more lodging exposure in order to control the entire experience and price value? I guess, why or why not then I have one follow-up. Thanks.
Kirsten Lynch: Thanks, Ben. We are really fortunate that we have some incredible lodging partners in our resort destination. And so -- while I'm proud of our owned and operated lodging portfolio, we are also really pleased to have some big names in lodging that drive guests to our resort destinations and create a really appealing experience for guests to have those options in different tiers of lodging. So I'm very pleased with where we are in terms of the portfolio, what we own versus the rest of our lodging partners, and then your first part of your question, can you reiterate that again, Ben?
Benjamin Chaiken: No. I think you captured it all. It's -- this works. I guess just moving on to the second one. Skiing clearly was one of the leisure sectors that received the benefit from the pandemic for a variety of reasons. As you reflect on the pandemic, in retrospect, do you think this will limited your ability for M&A over the last two or three years, given what was likely -- what I would suspect was a disconnect in elevated earnings and multiples? And then do you feel any better about it today given what you've described as a COVID normalization? Thanks.
Kirsten Lynch: So many of the assets in this industry are -- they don't trade very frequently. They're very unique and special. There's really not new supply that comes on, which is a really great benefit that we have in this industry. We have been successful during this post-pandemic period and advancing our strategy to grow in a huge market in Europe by acquiring a statement -- Andermatt-Sedrun as well as acquiring Crans-Montana. So I'm really pleased with the progress that we've made there. Hard to say if things are going to change or there's going to be more families or owners of assets that want to make transition. So it is a more challenging acquisition market to forecast in the ski industry. But we have been very transparent that we're focused on three things. One is -- we are still focused on North America that we do believe there are some very specific areas in our portfolio that would be accretive that we would like to acquire. Second is Europe is huge. The size of the market, the participation in sports dramatically bigger than North America. And we believe our business model, it is a long-term strategy, but our business model has some real advantages that can be successful there over time. And then we believe Asia is a big opportunity as well. And I do think we've made good progress but can't really predict in this normalization phase, if that's going to unlock more or not. Thanks Ben.
Operator: And we'll go next now to Matthew Boss with JPMorgan.
Unidentified Analyst: This is John on for Matt. Just going back to the start of the ski season. When you look at November and kind of early December trends, how is visitation kind of versus ancillary spend? And then multi-year, how are you thinking about this normalization headwind on the participation rate relative to like new Pass growth?
Kirsten Lynch: Yes, the normalization, we talked about -- John, thanks for the question. The normalization we talked about last year that we saw that there was a really some variability and some surges in demand post-pandemic that we saw starting to normalize last year. The whole industry in North America was down over 9% in skier visits, our visits in North America were down about 8%. What we are seeing is coming into that season, the normalization occurred Pass Sales were up. What we're seeing is the lag effect of that normalization on Pass Sales results that we have coming into season, which is only down 2% on units. So that's kind of impact that we're seeing from normalization.
Unidentified Analyst: Great. Thank you.
Operator: And we'll go next now to Arpine Kocharyan at UBS.
Arpine Kocharyan: Hi, thank you so much for taking my question. And good evening. Your past penetration is already at that 75% of visitation. And I think you've previously talked about how you plan to take that higher to perhaps higher than 65% of revenue mix. Could you perhaps talk a little bit about the puts and takes of that in terms of in the year for the year impact? Because Pass pricing is, of course, about 35%, 37% lower than lift than historically strong lift price increases have obviously helped you close that gap nicely in terms of impact on overall P&L. I guess I'm indirectly asking about sort of whether there's more room to push lift pricing higher here from whatever trends you have in front of you from whatever early read you might have into the lift pricing? Thank you. And I have a quick follow-up.
Kirsten Lynch: Okay. If I'm interpreting your question correctly, I -- there's a couple of areas that we still see for growth, and we are still very focused on that vision that you just articulated in terms of what we're trying to achieve as the percentage of our Lift revenue that's committed in advance. And there's a couple of areas that we think, are still opportunities. Obviously, we still have lift ticket guest -- that our goal is to convert them into a pass. We also see in underpenetrated markets and destination markets that there's -- still we are not maxed out at a maturity level of where we can be with Pass for the number of skiers in those markets and the opportunity to convert those. And then there is the database, which we have over -- we have over 2.3 million pass holders, but we have over 25 million marketable guests in our database. And so the key for us is how do we connect with them in a relevant way and bring them into our network of resorts. So those are all opportunities for growth. When I think about lift tickets versus Pass, we are not focused on lift ticket pricing being lower to drive volume rate. That is a short-term and refundable decision. So we do price our lift ticket to reflect the experience we're delivering but also to encourage people to make a commitment in advance and that there is a value to the exchange that people are making to buy a Pass, which is -- we're asking you to make a non-refundable commitment to us and for the whole season and our network of resorts and in exchange, we are giving you that incredible value. Every year, we look at the price elasticity data and the behavioral data that we have to decide what are the resort lift ticket price is going to be and what are the Pass prices going to be. Right now, where we landed coming into this season, with our Pass results and where we are in the ticket pricing. I'm very pleased with the balance that we have between those two. And I think one last thing I'll just mention to remind people because people often think about lift ticket prices and they think about Vail Mountain is we have a really large portfolio, 42 owned and operated resorts that cover a very wide spectrum of different types of scars and different price points as well, but we look at it constantly and adjust when we see data or behavior that we think we need to make adjustments to our approach.
Arpine Kocharyan: Thank you very much. And then one quick one. I know you haven't given guidance on this outside of CapEx but whatever you could share directionally would be helpful. I was wondering if you could detail what kind of OpEx you are including in your guidance for 2025 for My Epic Gear? Anything directionally would be helpful.
Angela Korch: Hi, Arpine. Yes, we do not disclose what we're including in there for OpEx related to this. As we talked about, it is early the first year of rollout, we have a lot of the infrastructure already in place. So if you think about what we are doing to drive this incremental business, right, you can think about that in terms of the capital that we announced, but then on the operating expenses, there will be some incremental variable costs that will come with delivering that experience, but we haven't provided specific guidance.
Arpine Kocharyan: Got it. Thank you very much.
Kirsten Lynch: I'll just build on that to reinforce the point that this is brand-new business model that doesn't exist really in the ski industry right now. So obviously, there is an awareness and a trial and conversion plan associated like there would be with any business. But we are also quite fortunate, as Angela said, that we're already heavily in the gear business in rental and retail and have substantial infrastructure. So really connecting the existing infrastructure we have and utilizing it in a different way to deliver a completely different business model we're focused on.
Arpine Kocharyan: Thank you very much.
Operator: Thank you. We'll go next now to Paul Golding at Macquarie Capital.
Paul Golding: Thanks so much. Just a quick question to start with on Australia. Just wanted to separate the commentary around the performance over this past season. Seemed like there was a comment in the press release about lower demand. I just wanted to understand where that's coming from. Is that just comping the normalization -- that there were season behind post-COVID? Or is that relating to some other structural dynamics there?
Kirsten Lynch: Thanks, Paul. This past winter season in Australia, we had historic challenging weather conditions and snow conditions. So that really impacted the demand at the Australian ski resorts.
Paul Golding: Got it. So aside from demand and -- aside from weather and inflation, nothing specific to that lower demand comment that would be separate or structural to that market?
Kirsten Lynch: No, that's what we are referring to. We were talking about going into the season. We knew that Passes were impacted, obviously on the demand side and then the conditions on top of that were a compounding factor for the winter in Australia.
Paul Golding: Got it. Thanks Angela. And then another question around this delayed decision-making due to prior year weather. Just wondering if there are any other levers left to overcome some of the delayed decision-making aside from the natural escalators that you have in Pass price and better weather conditions in the preceding year, obviously which wouldn't have you in the delayed decision-making situation with some of the resorts. So just wondering, any other levers you have that you're considering, whether it's bundling or something on the lodging front or otherwise to help give more visibility earlier in the selling season to what season dynamics might look like? Thank you.
Kirsten Lynch: Thanks, Paul. Yes, we are -- ideally, we would love to have all of our Pass holders committed in the spring. And we've been quite successful over time. And moving of behavior that used to occur one or two weeks before someone decided to show up on their ski vacation and moving that earlier and earlier in the selling cycle. This year, as you noted we did see some delayed decision-making coming off of a tough season. So as we head into next year's Pass sales, we always do a situation assessment on the business, what worked, what didn't work. what are the things that we want to change. And that is a dynamic Paul that we always look at, which is what are the different incentives for our guests to commit as early as possible? Does anything need to change? Obviously, those Passes for next -- the following season, they are not going on sale yet, so I'm not going to bulge any of the things that we're thinking about. But we do look at it every year, and we're constantly driving to pull that decision-making and make it worthwhile for our guests to want to commit to us as early as possible. More to come on that.
Paul Golding: Great. Thanks.
Kirsten Lynch: Thank you.
Operator: And we'll take our final question today from Brandt Montour of Barclays.
Brandt Montour: Hi, good afternoon everybody. Thanks for squeezing me in here. So first question is on Whistler. Kirsten, I want to make sure I'm just not reading too deep into your comments about Destination guests being important here. But I guess the question is, I know Whistler has probably a very large relative mix of international guests and guests traveling from afar. And so is there any sort of dynamic whereby if you don't – there is a lag related to those folks having to book further out -- and if you get too far into the season without seeing a recovery in those bookings, and you might not be able to make that up even in a really good weather season? Or is that not really the dynamic there?
Kirsten Lynch: I can't say I'm anticipating anything like that right now. The fact that Whistler Blackcomb is off to such a great start with the amount of terrain that's open, the snow conditions, last season was a tough season at Whistler Blackcomb. So getting out of the gates really strong early here. The hope is that -- that then our international guests and our domestic destination guests are thinking about and planning their ski vacations at this time for the reason and that it has a positive impact on it. So -- at this point, I can't say that I'm anticipating -- we're so early in the season right now, I'm not anticipating that there's some threshold that we're going to go past this early where it becomes difficult for people to book their vacations. What I am seeing with the Whistler lodging data is with each reporting cycle that comes out on that, those lodging bookings, it seems to be improving and moving in the direction that we would want it to. So yes, just wanting to be transparent about what we're seeing in those early indicators. And we are fortunate that -- that early snow is a real positive and hopefully influences people to want to book their vacations there.
Brandt Montour: Okay. Great. That's helpful. And then just following up with a high-level question about the East Coast specifically. Looking back at the last couple of years, obviously really tough weather. But looking through the lens of whether potentially shifting warmer, even permanently warmer, even if it is marginally. I'm curious if in your long-term planning, you've thought about adjusting your operating model any of those mountains to account for that in order to maximize cash flow as well as the strategic importance of those mountains?
Kirsten Lynch: Yes, Brandt, we're always looking at our operations and our operating model across all of the resorts and in particular in the East, making sure -- because that geography is relatively new for our company or new work for our company. So our Mountain ops teams are constantly learning and looking at what adjustments they need to make, given the variability that occurs in the East. And then obviously, we're focused on geographic diversity. We think being in the East is really important -- because it has access to some major metropolitan markets where there's a lot of skiers and that has a big impact on our pass sales to have that access and that connection in our network, but the geographic diversity of our company to have a strong presence in the Rockies and strong presence in the West with Whistler Blackcomb in Canada as well as the East to balance out where we have challenges is hopefully the goal even when there is some weather variability.
Brandt Montour: Great. Thanks everyone.
Kirsten Lynch: Thanks Brandt.
Operator: That is all the time for questions today. Ms. Lynch. Back to you for any closing comments.
Kirsten Lynch: Thank you, operator. This concludes our fiscal 2025 first quarter earnings call. Thanks to everyone who joined us today. Please feel free to contact Angela or me directly. Should you have any further questions. Thank you for your time this afternoon, and goodbye.
Operator: Thank you, Ms. Lynch Again, that does conclude today Vail Resorts fiscal first quarter 2025 earnings condense call and Webcast. You disconnect your line at this time, and have a wonderful day. Goodbye, everyone.